Operator: Excuse me, everyone. We now have Kevin Reilly, Sean Reilly, and Keith Istre in conference. Please be aware that each of your lines is in a listen-only mode. At the conclusion of the company's presentation, we will open the floor for questions. (Operator Instructions). In the course of this discussion, Lamar may make forward-looking statements regarding the company, including statements about its future financial performance, strategic goals and plans. Lamar has identified important factors that could cause actual results to differ materially from those discussed in this call in the company's reports on forms 10-K and 10-Q, and the registration statements that Lamar files with the SEC from time-to-time. Lamar refers you to those documents. Lamar's fourth quarter and year end 2008 earnings release, which contains the information required by Regulation G was furnished with the SEC on a Form 8-K this morning, and is available on Lamar's website, www.lamar.com. I would now like to turn the conference over to Kevin Reilly. Mr. Reilly, you may begin.
Kevin Reilly: Thank you, [Gene]. As is our custom, we will lead off with some brief remarks and then go ahead and turn the call over for questions. I want to thank all our friends and shareholders and analysts for tuning in. As you can see from our fourth quarter revenue performance and Q1 guidance, the bottom dropped down with sales in December and January. And we are seeing more vitality than usual in our bookings, which naturally lead to less visibility. Needless to say, this is a very challenging environment. And in this environment in addition to trying to maximize revenue, it's all about expense management, controlling CapEx and free cash flow generation. So during this call, we want you to be aware of what management is doing in these areas especially expense management, because we have had to cut the cloth to fit pattern. And all of our cuts by the way in, both in CapEx and in expenses are sustainable and they will not damage our franchise. Of course in the past, we have give expense growth guidance. But in 2009, there will be a significant reduction in expenses over 2008. Sean will give you more color on what the company has done to-date and what the company did in the fourth quarter of '08. On an encouraging note, sales trends for Lamar are playing to our strengths, national business is weaker than local, discounting is primarily confined to the larger markets and more centered around national cross market buyers. This relative strength in local sales leaks me to believe that outdoor over the years, we will continue to get a larger share of local ad spend. And we will garner that ad spend, primarily at the expense of newspaper, radio and TV. Before I turn the call over to Keith and Sean, I'll be remiss if I didn't thank all of our employees especially our managers who have responded quickly to make the necessary expense adjustments required by the current ad climate. With that I would like to turn the call over to Keith Istre.
Keith Istre: Good morning, everybody. Just a little color on Q4 and the year as you saw from our pro forma numbers. For Q4, we came in at down a 11.7%, and revenue for the quarter our guidance had been for '09 to kind of give you a breakdown by month how that came about the 11.7%. We generally don't get into the monthly numbers, we just talk about the quarter. But at the end of October, our revenues were down 9% over October '08. November, we were down 9% over November of '08. And then in December, the bottom as Kevin said fell out we were down 16% over December of '07. The good news is that the expenses came in way under our normal growth of between 4% and 6%. Actually consolidated expenses, which are outdoor operating and corporate overhead were down minus 4.4% for the quarter. We don't generally post the annual revenue EBITDA and expense growth in our press release, but just to give it you, revenue for the year was down 3.2%, EBITDA was down 9.1% and our consolidated expense growth for the year was 1.2%. Again, well below the 4% to 6% that we normally experienced. With that I would just like to make a couple of comments on our capital structure. In our third quarter press release in November of last year, we put in an indebtedness section that among other things included the schedule of maturities by year of all of our debts, so the market knew exactly what was coming due and when. If anyone on the call hasn’t seen that, you can call up the press release from the third quarter, if you have forgotten about it, it's out there. On the last call, the two predominant questions will the company needed amendment to its bank credit agreement increasing its debt-to-EBITDA ratio and what does the company plan to do about the converts that are coming due in December 2010. Obviously those questions continue to be asked and the answer today is the same as on the last call. We are currently in compliance with all of our credit agreements, our debt-to-EBITDA at the end of the fourth quarter was slightly below 5 to 1. Our bank covenant, which is a most restricted covenant is 6 to 1. We currently need no amendments, we do not know at this time if we will or we will not need a amendment in the future, that depends on the performance pf the company going forward. And if at some point the future, we do need to seek an amendment, we will engage in discussions with our lenders at that time as we have done in the past. As for the Converts, again the answers is same; those notes are due December 31, 2010, approximately two years out. We have no plans currently to address the converts as we do with all of our debt instruments, we continue to monitor the convertible markets, so we know what the conditions are at all time. Sean?
Sean Reilly: Thank you, Keith. I am going to run through the traditional statistic we give out on these calls, but I did want to speak to the expense side first. In our last call, as we mentioned we were targeting zero to minus 2 expense decline of about our pro forma actual. And as we got into December and saw the unprecedented and rapid deterioration in our business. We took that up a notch, so I am going to try to give you some color on that. Our pro forma actual expenses are $706 million that's basis off of which we are cutting. First, we address headcount. We have laid off approximately 10% of our workforce. That's about 350 folks. And the attendant savings there, as Kevin mentioned, are sustainable. And we believe we can hold that for the next few years. We are also very aggressively managing our lease portfolio, we are renegotiating leases, we are taking down billboards that are unproductive and we have so far saved about $10 million on an annualized basis. That program will continue through the year. And hopefully be able to give you update as we go through the quarter. We are leaving no stones unturned, we have consolidated our cell phone usage and going to save almost a $1 million on annualized basis. We discontinued our 41-K match program, and we are really doing all those things that you would expect as we try to manage our way through this period. On rate and occupancy staff, let me give you the posters first. Occupancy for Q4 '07 was 66% in Q4, '08, it fell 57% on posters and on bulletins. Occupancy in Q4. '07 was 77%, and in Q4, '08 it was 71%. On rate for posters Q4, '07 average rate was $444. And in Q4 '08 average rate was $453. For bulletins, average rate Q4 '07, $1202. Q4 '08, $1163. As we go into this quarter, traditionally Lamar has tried to hold the line on rate, and suffered in occupancy. Occupancy comes back faster when things get better. We are going to try to continue to manage to that. As Kevin mentioned, there has been some pricing pressure it tends to be limited to be the larger and more competitive market and national customers. We are hanging in there with rate on our local book of business. On national versus local, and how that's tracking. As Kevin mentioned, on a relative basis local has shown a little more strength than national. In December national dropped 17%, and it is tracking in Q1 to be down somewhere between 17% and 20%, and so you can see that the local is on a relative basis slightly stronger. As is more typical of downturns, our shorter cycle products are now showing more of the weakness as opposed to our longer-term bulletin contracts. And as Kevin mentioned, we are acutely aware of our CapEx and our CapEx for 2009 is projected to be around $30 million. On digital, as of February 26th, we had 1,095 digitals in the year in 135 markets. I mentioned in December, our shorter cycle businesses took a tumble and that was certainly the case for digital as our same board digital was down in December in the sort of mid-20%. In terms of our verticals and our top advertisers, for the most part our top advertisers are hanging in there as we go into 2008, I mean as we go into 2009. For year-end 2008, our largest customer was McDonalds, then Verizon, then Cracker Barrel then AT&T then Coors then State Farm. All of those customers are hanging in there for 2009. Obviously the biggest category and customers that are struggling as we go into 2009 with our auto business. In terms of categories of business, same lineup, restaurants, retailers. In 2008 auto was 7% of our book, and again that's the vertical we struggled the most, hospitals and medical care are doing fine at 6% of the book. For 2008 real estate was 6% of our book. Interestingly that is the same percentage it was in 2004, so we seem to have taken the brunt of that hit, and hopefully that will stay at about that level in 2009. The rest of the verticals are familiar to you and I'm happy to take any questions on them. Keith, Kevin back to you.
Kevin Reilly: Gene I would like to go ahead and open up the call for questions.
Operator: Thank you our first question comes from Mark Wienkes with Goldman Sachs
Mark Wienkes - Goldman Sachs: Hi, good morning. I was wondering could you provide a little more color with respect to OpEx control that you see through the year, like if your revenue base 15, do you think the savings can accelerate from the down 4.4, which is an impressive acceleration in the savings. Could it be down 5%, 6%, along those lines?
Keith Istre: Yeah. That pro forma actually is 706, we are budgeting and are confidentthat we can be 5% to 7% below that pro forma actual. The headcount reductions have taken place. The lease program has paid off to the tune of about $10 million annualized so far and we anticipate that continuing throughout the year. That number is going to grow as we go throughout the year.
Mark Wienkes - Goldman Sachs: Right. Great, how would you characterize the nature of the conversations with advertisers? The advertisers saying that we just don’t have any visibility in our business, and so we just maybe cut our spend and we don't know when or to what magnitude we will be back or are the conversations more of just, certain advertisers outsiders, we noted out there, McDonalds, Verizon, etcetera. coming back. But certain ones that are more nation, not spending at all. And others saying, we proactively have worked through our '09 budgets in our projections, and we are just mapping our ad spend, down 10, down 15 whatever it is to our projections. And there is bit more of measure of confidence in the outlook.
Kevin Reilly: So, anecdotally, what we are hearing the folks that believe they will still be in business in 2009. But the folks who have a little more visibility, are going shorter. And so, most of the renewals that are in categories that are struggling, folks are buying but they are buying shorter. They have less visibility in terms of their business. The auto situation is difficult one. That's clearly local. Auto dealers are under a great deal of stress and strain. The ones that are buying, are buying short. As they sort of work through their issues. But so, anecdotally, it is for those that are buying, they are buying a little more short. We do have some customers that are saying look, I'm not buying it first, I need to see how the year shapes out.
Mark Wienkes - Goldman Sachs: Do you think that the, should the Obama administration, should they infuse the auto sector with a bunch of capital, does that filter down to the dealers, does that help them at all? And then if it filters to them, does that help you at all?
Kevin Reilly: Well no, because I mean the roadmap is pretty clear that there are going to be fewer dealers domestic US over the next couple of years. Which hopefully, that will be a good thing for the auto industry. You will have to put it back on the consumer and the access to credit, which would kick-start things for our auto dealers. And baring a German plan, where they come out and say we will buy every automobile over seven years old, or over 10 years old for X amount of dollars, which would stimulate a lot of activity baring that. We really don't see that. But having said that, we had this dramatic drop off in December and January, but we have some auto dealers who have resigned to their new reality that they're going to be selling fewer cars, that they may have to live off of their repair department. So, that's what they're doing. They are advertising their parts and labor, and their repairs and maybe some of their used car offerings and they're tiptoeing back into the market with us. And we are the lowest cost per thousand out there. So, clearly, electronic media and newspaper are going to take the biggest brunt of their issues. I think what we have to do is not hope for hail Mary from the Federal Government, but think about trying to offer up that inventory to other customers, if our auto dealers don't want it.
Mark Wienkes - Goldman Sachs: Makes sense. Thank you very much.
Operator: Our next question comes from Alexia Quadrani with JPMorgan. (Operator Instructions).
Alexia Quadrani - JPMorgan: Thank you. A couple of question. First, you mentioned, December got very soft, down 16%. Could you let us know, if January was actually worse than that? And then the second question is, you are obviously doing a tremendous job on the cost side. I just want to get a sense if you feel you have bit of a cushion out there after your initial sort of cost cutting plans if revenue were to worsen much worse than you are seeing, is there another layer you could cutback?
Keith Istre: Sean I can take the January question. We guided to down 15% for the quarter, January of course is behind us and we were down exactly 15% for the month. And we expect for February and March to basically run in that same range. So there is not a peak and a valley like there was in the quarter, like there was in in the fourth quarter, it seems fairly consistent for all three months that will be down in the mid-teens. Sean, did you want to take that.
Sean Reilly: Well, yeah. On the expense side. Again the, one of our biggest expenses is our lease portfolio and we are aggressively managing that and that will continue throughout the year, even after this firms up. We are going to continue to do that because we do have some nonperforming units out there that are coming up for lease renewals and those discussions are ongoing with landlords and we plan to keep them ongoing throughout the year. When we were on the last call and were talking about this program, we were kind of focusing on un-built leases and totally non-productive units that hadn’t had billing for the last year. We’re now aggressively going after essentially every lease that has what we would consider to be a lease cost is related to revenue of being too high. So we are definitely asking our landlord partners to participate in this recovery. Again those discussion are ongoing and they are happening everyday and in some cases we are actually taking billboards down.
Alexia Quadrani - JPMorgan: I think you said in the fourth quarter call that 15% of your boards were underwater, how has that number changed and I guess if you want to give us some color, maybe your broader definition as well, what sort of percentage of these leases you are talking about.
Keith Istre: I prefer to express it another way, and that is 20% of our leases, or units provide roughly 70% of the company's revenue. Is that correct?
Kevin Reilly: No 30% provides70%
Keith Istre: 30% of our units provide 70% of the company’s revenue. So there's plenty of opportunity in the lease portfolio. And you start with the least productive ones first. But you got be careful, because that is our franchise, and so you must be careful about how you manage your leased portfolio, your takedowns, because you don’t want to destroy your franchise because of a sort of a one-off extraordinary ad environment. Because I am convinced that over the next five years, you are going to see local ads spend come to outdoor, because the other outlets are just going to have different business models and smaller audiences.
Operator: Thank you. Our next question comes from Jason Helfstein, Oppenheimer. Go ahead Jason.
Jason Helfstein - Oppenheimer: Yeah, thanks. So two questions. One relating to, both OpEx and CapEx, so clearly you are telling us that you are managing expenses for this year. They were going to be down in that mid double-digits, if not more range. One, how much of those costs need to come back next year. And then on the OpEx side, you are obviously managing as well your CapEx to maximize your free cash flow, how much of that is sustainable, does the maintenance CapEx has to come back next year to the traditional billboard business. Thanks.
Kevin Reilly: I will let Sean do the OpEx, but on the CapEx it's sustainable because of the aggressive reinvestment that we put back into our plan. And so if we are involved in takedowns, we don't scrap this material. These are retrofits and so we have a ton of material that will in inventory available for repair and maintenance. The only thing that really would have cause us to accelerate CapEx is when we get back in the business rounding out a digital platform, which we are going to do. But we taking a temporary pause right now because the environment that we are in. But the $30 million CapEx number is a number that we can live with for the next three years. Sean, you want to address that? He was talking about double-digit decline in the OpEx.
Sean Reilly: Yeah. Essentially again of that pro forma actual was $706 million, we are highly confident that this year will come in 5% to 7% below that on the OpEx side. And it's our opinion and our field's opinion that that is sustainable. If and when business comes back, and if it comes back real, real strong, we will have that sort of high grade problems of perhaps having to add some folks in the back of the shop to post more comps. But for the foreseeable future, this is a sustainable level of OpEx and as Kevin mentioned we are not doing any long-term damage to the franchise.
Jason Helfstein - Oppenheimer: And if I can a follow-up on digital?
Sean Reilly: Yes.
Jason Helfstein - Oppenheimer: We are making our digital conversion rates as far as number of…
Kevin Reilly: You broke up.
Sean Reilly: You broke up, Jason, I didn’t hear that.
Kevin Reilly: I think the question was is your conversion rate the same? Well, no. It's not the same. Our total platform is sad, but what we have enjoyed and what we pleasantly surprised with, especially over the last couple of months is as the customers become resigned to the environment that we are in, and they decide to go ahead and tiptoe back into the ad space, they like the digital even though it's a higher cost per thousands, it's not a long-term commitment. I can tiptoe in for a couple of weeks. And so we like what we are seeing in the platform. But, no, the conversation rates are not same. The overall platform is sad, as Sean mentioned. December we were down in the low 20s. But having said that, we still are going to go wrap about 30 units in '09 in order to fulfill our take or pay contracts with the vendors.
Operator: Thank you. Our next question comes from Marci Ryvicker with Wachovia Wells Fargo.
Marci Ryvicker - Wachovia: Thank you. I have a couple of questions. Regarding Q4, the falloff in December, I guess I am struggling with the fact that you guys typically have longer-term contracts than other media, so I would think that by the time you actually report you are providing guidance that are you fairly comfortable with how the month looked, so is there anything that happened in December, was it cancellations or something else that you could just kind of explain, that’s the first question. The second question is in terms of Q1 guidance how much visibility do you have now, how much of your business is booked?
Keith Istre : You know what happened to us in December? Even though we have long-term contracts, they renew ratably throughout the year. And we had just unprecedented non-renewals in December, really across the platform. But as I mentioned it was really the shorter cycle sale products that struggled the most, I mentioned digital was down same board 24%. That's a very short cycle buy and posters really struggled. So again as we do have long-term contracts, but they renew ratably throughout the year and then if people are scared and they don’t renew then we are going to feel pain and it was truly unprecedented in December.
Kevin Reilly: And also in January, we had national customers who just took a pause. They said look renewal discussions are coming up this month. We don't want to talk about it till February, so they just went away.
Marci Ryvicker - Wachovia: And how much visibility do you have for Q1 right now?
Kevin Reilly: Our visibility for Q1 is pretty good, but usually our visibility extends out four or five months and that's why there is more volatility in our book and it provides a less visibility, but of course we have a pretty good visibility right now, because we have only got one month left for the quarter.
Marci Ryvicker - Wachovia: So would you say that you are basically at the same point this year than your last year in terms of percent of business booked?
Kevin Reilly: Well, obviously its less. Because last year in the first quarter, we were up about 2% on a pro forma basis. So, I mean we are guiding to down 15. And when we used to give our guidance as far as where we are in our bookings, it was to budget, and obviously in this environment I'm not sure how accurate a measurement that would give any relative benefit to give to the market, our operating budget and I don't know if, again, it would be relevant.
Marci Ryvicker - Wachovia: Okay. And I just have one last question for Sean. It sounds like digital is it just weaker overall than your core business. I want to try to make sure that I understand that, and if it is, is it occupancy or rate that's the biggest problem?
Sean Reilly: It is. And it's interesting as we were rolling up this product and thinking about how we would perform through business cycles. We did have a sense that as a shorter cycle product, it would be a little more volatile than the overall book. And of course that’s come to pass. It's both, it's rate and occupancy. The markets where we have digital competition are struggling the most. One of those happens to be in Las Vegas, which has a truly challenged economy. And we have pretty stiff competition in our digital product mix. And so Las Vegas digital is really struggling. Where that's not the case, we are holding up better. But again if this is a product that customers can come in and out of. And of course the world stood still in December.
Kevin Reilly: Yeah, Marci. It's not clear if that's going to be the case for the year. We are just looking backwards at December and January. As we look forward and we see some of the activities that's taken place for February and March, we kind of like what we see in the digital space.
Marci Ryvicker - Wachovia: Okay
Operator: Thank you. Our next question comes from James Dix with Wedbush Morgan.
James Dix -Wedbush Morgan: Good morning, guys. I have a couple questions. First, can you just give a little seasonality on how your occupancy trends typically go. How much lower are they typically in the first quarter than the other quarters of the year, for posters and bulletins? How was that tracking now? And do you have any reason to think that seasonality is going to differ a lot this year. And then I guess on the operating expense side, when you would re-negotiate the new leases for the boards you go back to the landlords and on what types of lease terms are you getting. Are you trying to convert to just a fixed escalator at a lower base, or is there a possibility that as your revenue comes back on those boards, the operating expenses and lease cost on those posters are going to rise faster than normal, because that is the deal that you are cutting?
Kevin Reilly: Well, on the lease portfolio, these are individual negotiations taking place across multiple markets and they are really all over the map. But in general, if it's a board that is truly non-performing. We are going to zero and either cutting it down, or if the landlord says keep it up there when business comes back we will talk again. For the most part, we are going lower and fixed. If it's it’s a board and a performing unit, but the lease cost is too high relative to revenue. But truly these negotiations, they are all over because they are highly localized, and there is thousands of them going on.
James Dix -Wedbush Morgan: But in general on this portfolio that we renegotiated ones, if revenue comes back you would will still expect the lease cost on those increase kind of inline with the lease cost on your overall portfolio?
Kevin Reilly: Correct, because we still believe that it's best for the shareholders to go long on the lease portfolio and that overtime long fixed rate payments are better than percentage leases.
Operator: Thank you. Our next question comes from Bishop Cheen with Wachovia.
Bishop Cheen - Wachovia: Hi, thanks for taking the questions. I just want to make sure for modelling based on your guidance, we understand. When you talk about your operating expense, you are including obviously your direct G&A and your corporate expense in that total number?
Kevin Reilly: Correct.
Bishop Cheen - Wachovia: Okay. And then you have given, I think twice now the guidance was down 5% to 7% loss off of the pro forma. I think that came to about 706?
Kevin Reilly: Correct.
Bishop Cheen - Wachovia: And then can you tell us in your RP basket in that calc, how much capacity you are having there for the RP basket, or bonds?
Keith Istre: Okay. You are talking about.
Bishop Cheen - Wachovia: Restricted payments basket.
Keith Istre: Our senior sub notes?
Kevin Reilly: It's accumulative basket and right now it would probably be $800 million, $900 million.
Bishop Cheen - Wachovia: Yeah, so you've got.
Kevin Reilly: Something like that.
Bishop Cheen - Wachovia: Huge capacity in there.
Kevin Reilly: Yes.
Bishop Cheen - Wachovia: If you decided to play the arbitrage ratio gain on your debt by kicking in bonds and discount, there would be nothing to stop you from doing that. At this point is that correct, because your not violation of any credit facility.
Kevin Reilly: No. We can do that, but there is a $100 million limitation.
Bishop Cheen - Wachovia: Okay. So and where are you have you used any of that limitation?
Kevin Reilly: No.
Bishop Cheen - Wachovia: Okay. So you have 400 million capacity for the ratio arbitrage?
Kevin Reilly: Correct.
Bishop Cheen - Wachovia: And then the last insidious question. If there any restriction if you decided to buy in the converts?
Kevin Reilly: As long as we are in compliance with our credit agreements, there are no restrictions.
Bishop Cheen - Wachovia: It's very helpful guys. Thank you.
Operator: Thank you. Our last question comes from James Marsh with Piper Jaffray.
James Marsh - Piper Jaffray: Yeah, hi. Two quick questions here. The first, I was wondering where the bulk of the headcount reductions are coming from, what specific type of employees? Then secondly, when you talk about the lease portfolio and working with landlord as partners,it doesn't really sound like a partnership, I mean something you just ratcheting down lease expense and then when things bounce back they don't really benefit at all. Is there any other mechanism in that that makes it more “partner-like?”
Keith Istre: Well, on the lease discussions, look some of these discussion are white knuckle and we and we are taking down units, so if we don't come to terms that suite the company then we are taking down billboards. And that word spread, I used the word partners because at the end of the day over the long run, their interest and our interest are aligned. Everybody wants….
James Marsh - Piper Jaffray: Sounds like my employment agreement.
Keith Istre: What?
James Marsh - Piper Jaffray: Sounds like my employment agreement.
Keith Istre: But you know again this is something we have done before and we have done it with success and we are enjoying some successful with the program now and we are expecting to continue throughout the year.
Kevin Reilly: Remember, James. Some of these discussions are not around contracts that have expired. Some of the contracts are in a full force and infact, and so that's a very partner-like discussion, because you got an existing agreement.
James Marsh - Piper Jaffray: Right.
Kevin Reilly: So again it's 60,000 some odd landlords and across a very large geography, and everyone comes to their decisions differently, and not every lease contract is on what you would call the standard form.
James Marsh - Piper Jaffray: Okay. I guess the important thing there is when you bounce back hard. It's not like you are sharing your upside with them.
Keith Istre: Every negotiation is different. In some cases, we are going to zero and payment doesn't come back, we will revisit. And we will keep the board up. And in some cases, we are just reducing the payment to a lower fixed fee. So again, they are all over the map in the aggregate. As I mentioned, we on an annualized basis reduced the expansion of that portfolio about $10 million already, and we are going to continue to work it throughout the year. On the headcount, as I mentioned it's about 350 employees, 10% of our workforce all over the country, and essentially across the board. It's probably, primarily, if I had to pigeonhole a disproportionate hit, it was probably in the back shop on the operation side and less on the sale side. The reason that is sustainable is because we have moved to a new substrate, which is polyethylene as opposed to paper and glue. That substrate is more durable, stays up longer, requires fewer truck rolls. I mentioned that on the last call.
Kevin Reilly : A dealer, it was across the board, included management and corporate over-head, very light like Sean said, very light on the sales force side.
James Marsh - Piper Jaffray: Okay, great. Thanks guys.
Operator: Thank you. And now concluding our question-and-answer session, I'll turn the floor back over to you, Kevin for closing comments.
Kevin Reilly: Gene, thank you very much, and I want to thank everybody for tuning into this call and we look forward to our next quarterly call.
Operator: Thank you. Please hang up to end the call.